Operator: Good morning ladies and gentlemen. Welcome to the Good Times Restaurants, Inc. Fiscal 2015 Second Quarter Earnings Call. As a reminder, a part of today's discussion will include forward-looking statements within the meaning of the Federal Securities Laws. These statements are commonly identified by words such as "anticipate," "continue," "plan," "expect," "intend," "should," "will," and other terms with similar meanings. These statements include but will not be limited to statements that reflect the company's current expectations with respect to the macroeconomic and competitive environment. The financial conditions of the company, results of operations, plans, objectives, future performance including the company's initiatives and strategy, sales growth, operating margins, cost, expenses, deployment of capital, restaurant development and our remodels, new market development, franchise development, and other expectations within the course of this call. Although the company believes the assumptions upon which preliminary or initial results, financial information and forward-looking statements are based are reasonable as of today's date, these forward-looking statements are not guarantees of future performance and therefore investors should not place undue reliance on them. Also these statements are based on facts known and expected as of the date of this conference call, and the company undertakes no obligation to update these statements to reflect the events or circumstances that might arise after this call. Participants on today's call should refer to the Company's Form 10-K A and other filings with the SEC for a more detailed discussion of risk, uncertainties, and other factors that could impact the Company's future operating results and financial conditions. The Company has posted its second quarter press release and supplemental financial information related to the quarter's results on its website at www.goodtimesburgers.com in the Investors section. And now I would like to turn the call over to Mr. Boyd Hoback, President and CEO of Good Times. Please go ahead, sir.
Boyd E. Hoback: Thank you, Mellory, and thanks everybody for joining us again this morning. With me today are Sue Knutson, our Controller and Scott LeFever, our Chief Operating Officer for Good Times. And joining by phone this morning is Jim Zielke, our new CFO that joined us this month and who we immediately sent down to Charlotte to help with the integration of our acquisition of Bad Daddy's International. So first of all I would like to welcome Jim to the call and you will begin to hear more from him in future earnings calls. And as you hopefully have been able to glean from our filings and prior calls Sue Knutson is a top notch controller and certainly on top of every aspect of our financials. That won't change, so Jim will provide us with additional capacity to accelerate and effectively manage our growth for both concepts while being also street facing with good communication and transparency for our investors. So, after we deliver our prepared remarks today, we will certainly be available for questions and answers. And I will spend a little time discussing the implications of the acquisition of Bad Daddy's International and the offering that closed concurrently last week. So, we continue to see both good same-store sales growth and flow through to profit on the sales at Good Times. Our same-store sales increased 8.3% on top of last year's increase of 17.8% which was also on top of double-digit in the prior year. So, our sales increase continues to be the result of both transaction growth, some growth in our average check driven by menu mix shifts, and also moderate price increases which Sue will outline here in just a minute. Our second fiscal quarter is our worst quarter seasonally so we certainly expect our store level margins at Good Times to be even better as we report our third and fourth quarter for the remainder of the year. To reiterate when we look back at our two year stack in same-store sales growth, our sales comps get more difficult beginning in this current third fiscal quarter which is two years of consecutive double-digit growth. So we certainly anticipate that we will begin to moderate to low-to-mid single-digits same-store sales growth. We have rolled out our new all natural, nitrate free bacon and we began television advertising support this week for that. We will roll out the summer shakes later this month and we continue to test other new products that support our overall brand umbrella and what we think is our core differentiating platform of fresh, all natural, handcrafted products. Our Good Times store that opened at the end of November is the remodeled Burger King and it continues to perform well above our systems weekly sales average. We opened another new store last week and concurrently we closed on a sale lease back transaction for its real estate assets and we were able to access an historically low cap rate for us for any real estate transaction we have done with the cap rate of 5.85% which is extraordinary. We also have additional sites in negotiation but don’t expect any of those to open until 2016. Total sales for our three Bad Daddy's opened during the quarter were a little over $2 million with the restaurant level operating margin as we defined that as a non-GAAP measure in our release of 14.3% which included significantly higher labor at the newest store that opened on January 7th. So we are real happy with that. Our restaurant level operating profit in our Northglenn store which continues to be the highest average sales volume store in the system was 24.5% during the second quarter which we are obviously thrilled with. And our first store in Cherry Creek continues to grow really nicely. It was up 30% in sales over the same prior year period. We continue to expect to open four additional Bad Daddy's in 2015 in Colorado while we digest and integrate the acquisition of Bad Daddy's International which includes seven stores in Carolina. We are in for permits on three of those stores and we are awaiting the turnover by the developers which gives us about the next 90 days to really staff and support the integration of the Bad Daddy's acquisition. We closed on the acquisition of Bad Daddy's International on May 7th. We paid $21 million for the purchase of BDI with $18.5 million in cash and a seller note of $2.5 million that is due in one year. Our review of the transaction is that on a forward-looking basis we anticipate that after we integrate the acquisition over the next three to six months we can be generating annual adjusted EBITDA from the BDI acquisition again as we define that non-GAAP measure in our earnings release. And we expect to be able to generate approximately $2.1 million to $2.3 million in annualized EBITDA which includes the cash flow from the restaurants net of the non-controlling interest. It includes a 100% ownership of Bad Daddy's franchise development versus our prior ownership of 48% and 100% of the royalties from the two franchise restaurants and 100% of the royalties from the airport concession license in the Charlotte airport, plus the elimination of the royalties that we would have been paying on our Colorado Bad Daddy's restaurants and that is how we get to that expectation of our -- of the adjusted EBITDA. We believe that buying BDI at a multiple of 10 times or less is very attractive yield for our shareholders as we now control the brand, we control 100% of the development off of a very small base of restaurants that has been successfully proven out now in six different metropolitan markets. We will begin to consolidate the BDI stores financials beginning with a partial period this quarter effective as of the closing date on May 7th. Four of those restaurants are owned at 100% and the remaining three restaurants have some non-controlling interests which may reflect in the same way that our non-controlling or minority interest in Good Times are showing on our income statement and balance sheet. In addition to the acquisition of BDI, we closed on our public offering of 2.784 shares of million shares of our common stock at price of $8.15 and that generated net proceeds of about $20.7 million after all underwriting discounts and expenses. Combined with the sale lease back on the new Good Times restaurant that was completed on April 30th, that now gives us over $13 million of cash on our balance sheet with very limited long-term debt after this acquisition. So we believe the acquisition of BDI will be immediately accretive and will not only give us an additional platform for accelerated growth with two operating basis but will also accelerate our transition to profitability as we move into 2016. If we can meet our expectation for these four additional Bad Daddy's opened by early fiscal 2016, we anticipate our annualized revenue run rate should be approximately 65 million to 70 million at the end of the calendar year and that is not including any new store development in 2016. On our road show for the offering we said that we expect to be able to execute a 40% to 50% unit growth rate for Bad Daddy's over the next few years and with the combination of the cash on our balance sheet of over 13 million, our internally generated cash flow from operations, and layering on the conservative level of senior debt we believe we have got the capital base to get us well into fiscal 2017. Our plan for 2016 is to continue to grow in our existing Colorado and North Carolina markets with Bad Daddy's and then grow concentrically from those basis of operations in 2017 and beyond. We may selectively franchise Bad Daddy's, however, near-term our focus is really on building a robust company on platform given the superior unit economic model and the concepts what we believe is the concept sensitivity to execution. So, we will talk about Good Times a little bit. I would like to turn it over to Scott LeFever here for a minute and he will review our Good Times results for the first quarter.
Scott G. LeFever: Thanks Boyd. With all the exciting news on Bad Daddy's we continue to deliver good results on our core concept at Good Times even during what is our worst seasonal quarter of the year. We are continuing to drive our fresh, all natural, handcrafted positioning deeper and deeper while we focus on continuous improvement in our store level execution on quality, speed, and friendly service. We just completed our first ever television campaign focused solely on our Breakfast Burritos and we saw our breakfast sales peaked at just under 10% with year-over-year growth and the average number of burritos sold by over 20% in March and April. We rolled out our all natural, nitrate free bacon in all stores as of May 1st which completes the all natural story for all of our proteins beef, chicken, and bacon. We are supporting the introduction of all natural bacon with television, PR, and social media advertising through July. We finished April up 6.5% on our same store sales and now that the rains have stopped in May, are hopeful that we can finish the third quarter similarly on top of the two year same store stack of 28%. As I mentioned in our first quarter call we had unusual spikes in bacon, dairy produce, and overall cost that began to abate later in the first quarter and they have remained lower in the second quarter including some moderation in beef costs. As a result we are running close to prior year levels in our cost of sales at Good Times. We implemented a small one step price increase in tandem with our roll out of all natural bacon which will cover our increased cost on that product. Our beef cost peaked in October and November and are stabilized but we aren't planning on any meaningful decrease in beef cost until the supply chain catches up hopefully later in 2015. We continue to make good progress with the reimaging of our older drive-through only stores and have begun the more extensive remodels of a few including one that will be closed for approximately 10 weeks. We have 10 or 11 drive-through stores completed and expect to five additional drive-through only re-images and two dining room stores completed during the balance of fiscal 2015. The labor market is continuing to tighten up somewhat and in certain trade areas we are seeing inflation on our average ways at Good Times. However, we won’t have the anticipated cost of the Affordable Care Act since participation rate was so low. So hopefully we can offset what we anticipate will be a slight increase in our average rates for the remainder of 2015. We continue to focus on continuous improvement in execution, to leverage investments we are making on remodeling with specific focus on certain quality attributes, reducing our speed of service and increasing our throughput at peak times and on the overall friendliness of our employees. The new customer feedback tools we have in place our going to be very helpful in identifying where we are making good progress or where there are opportunities for improvement. Now I’d like to turn over to Sue to discuss more in detail our financial performance for the first quarter.
Susan M. Knutson: Thank you, Scott. Boyd already covered the highlights from our earnings release but I’ll point out a few additional things. Good Times same stores sales increased of 8.3% was comprised of 2.2% in transaction growth, approximately 4.7% in pricing, and 1.4% in other components of our average check. Both Good Times and Bad Daddy’s cost of sales declined sequentially from our first quarter due to lower commodity cost, improved systems and process at Bad Daddy’s, and with Good Times down over 2% and Bad Daddy’s down over 1%. Labor cost remains slightly elevated at Bad Daddy’s due to extra management that we are carrying for our new stores planned in 2015. All four General Managers for the new stores have completed their training programs and are filing positions in our existing restaurants. However, with the new restaurant sales performance and the operating margin at these stores we still delivered 14.3% restaurant level operating margin for the quarter. Good Times continues to see good leverage on all of its operating costs with labor cost down 1 percentage of sales from last year during the quarter and other fixed and semi variable cost also down as a percentage of sales which resulted in 160 basis point improvement in the restaurant level operating profit margin for the quarter. In our operating prospectus, we show that the four Bad Daddy’s restaurants that we acquired from BDI, that have been opened more than 15 months had average sales of 2.7 million and a restaurant level operating margin of 18.6% last year. We continue to expect and model the Bad Daddy’s concept at approximately 2.4 million to 2.5 million in sales with restaurant level operating margin from 15% to 17%. We are running slightly lower cost of sales in Colorado as compared to the North Carolina Restaurant driven partly by our higher bar sales and a lower bar costs and partly by certain purchasing advantages we have. We hope to implement some of those purchasing advantages in North Carolina over the balance of 2015. Our G&A expenses increased by 224,000 during the quarter from last year, that consisted mainly of higher cash and stock based compensation expenses, investor relations expense, director expenses, and legal and accounting expenses. We anticipate that we will have some G&A synergies with the BDI acquisition. Embedded in BDI’s adjusted EBITDA for 2014 is approximately 900,000 of G&A expense. In addition to Jim, who is our new CFO we plan to bring on a Director of HR and Training and a VP of Real Estate this year. We anticipate that the G&A associated with BDI will cover those positions as we will have synergies in all other G&A line items. In addition for the quarter we recognized a 197,000 in non-recurring acquisition expenses related to the BDI acquisition in the second quarter. We expect total acquisition expenses to be approximately 525,000. So the third quarter will have approximately 325,000 of additional non-recurring acquisition expenses. We had pre-open expenses of 185,000, included in those cost were the new Good Times that opened in May and the new Bad Daddy’s that opened on January 7th. That also included a portion of post open training for that new store that opened in January. In addition it included management training for additional stores planned in 2015. Restaurant level operating profit as disclosed in the supplemental information in our first quarter press release increased 224,000 over the prior year to a 1.39 million for Good Times and was 288,000 for Bad Daddy’s. As Boyd mentioned, our third Bad Daddy’s opened on January 7th to very good volume and it contributed immediately to restaurant level operating profit, even with its higher post opening labor cost. That combined with the Northglenn stores 24.5% restaurant level operating profit margin drove the quarter’s performance. Boyd covered the status of our balance sheet and liquidity after completion of the offering and the 20.7 million in net proceeds. Additionally, we now own 100% of Bad Daddy’s franchise development so we fully consolidated and the affiliate investment on our balance sheet and income statement will go away. As of the acquisition there was approximately 460,000 of cash in that entity which will now be fully consolidated into our cash balance. Boyd also mentioned we closed on the sale lease back of the new Good Times restaurant on May 4. The net proceeds were 1.52 million that will replace the assets held for sale on the balance sheet of 1.1 million and will fund the remaining development cost. In addition to the anticipated annual revenue rate of 65 million to 70 million by early 2016, we will provide more guidance on our expected EBITDA next quarter as we anchor our page for development for 2016 and finalize the integration of BDI. We are trying to report same store sales for each concept with stores going into the pool after 15 months for Good Times and after 18 months for Bad Daddy’s due to the difference in the concepts maturation cycle for new stores. We have seen some Bad Daddy’s come out with high honeymoon period of sales such as Greenville, South Carolina store and our last two Colorado stores and others that have had an approximate one year maturation cycle such as several of the North Carolina stores. The first Raleigh store opened in the low $2 million range in its first year and is now on pace to be the highest volume store in North Carolina in 2015 in the high $2 million range. The North Carolina stores that have enough history are generating same store sales growth mostly in the low to mid single-digit range. Now I’d like to turn the call back over to Boyd.
Boyd E. Hoback: Thank you, Sue. Now that we have completed the acquisition of BDI, our story is certainly clear and cleaner and is a pure growth story. So disciplined site selection, hiring good people, not over growing our operating capabilities, and maintaining the level of economic models we believe should deliver significant shareholder value over the coming years as we perform on those. Well some sites may take a bit longer to mature as Sue said, we’ve been more than encouraged by the recent new restaurant openings and so as we model the Bad Daddy’s, its outstanding at 2.4 million to 2.5 million in sales and is exceptional at higher sales and I think we are beginning to believe that there is as much opportunity to open stores at higher than 2.5 million targeted level, than below that as we continue to refine the model with everything from enclosed patios, rooftop bars, or site selection model, and as we continue to innovate with the concept where we are obviously real excited about Bad Daddy’s. So appreciate your time with us today, with that Operator we’ll open the call for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Will Slabaugh with Stephens, Inc. Your line is open. Please go ahead.
Billy Sherrill: Hi, thanks guys. This is Billy on for Will, and congrats on a good quarter. Just a couple from me. Can you talk about the ultimate runway for breakfast to Good Times and what that would look like, and obviously you’ve seen success there here but wondering if you potentially had a long-term goal for where you wanted that to be as far as percent of sales and then what it would take to get there, would that be just more raising awareness with your customers or will it be more driven by say menu expansion and more products?
Boyd E. Hoback: I’ll take the first crack and let Scott jump in. When we first rolled breakfast it immediately went to over 7% of sales. Recently we got it over to 9%. I think we would like to be able to see that day part get into double digits. I mean I believe Taco Bell has gotten theirs up to the 6% to 7% range with all that they have been putting forth that effort and obviously the millions of dollars they are spending on advertising. We’re reluctant to just push sales mix and the reason being is that Scott and Nick have developed a really labor efficient model with the way we are doing breakfast right now. So doing 8% to 9% mix is extremely profitable as we begin to expand that menu it has a significant impact on that labor model. And so we do have some other things in test, we have some new products that we are looking at. We would like to continue to grow that day part. Even though it’s only gone up by a point or two as a percentage of mix what's significant is that breakfast has maintained that mix and actually grown as our overall same store sales have grown. So where we’ve grown double-digit over the last two years stacked on each other, breakfast has continued to grow commensurate with that and actually increased as a percentage of mix on top of that growth. So as Scott mentioned where this last TV campaign where we actually increased our overall breakfast and burritos sales by over 20%, so we’ll continue to put some media behind that and we have got some other product innovation, anything else.
Scott G. LeFever: No, I think that’s accurate. I don’t think we are going to jump into new menu items very quickly. We are going to evaluate it against our labor model and our food cost. The singular offering of breakfast Burritos has really proven to be very efficient.
Billy Sherrill: Right, thank you, and just one quick follow up if I could, speaking to the site selection I realized that Good Times is obviously going to take on a slower growth profile and it seems to me there are some obvious advantage of keeping that concept geographically closed for brand recognition purposes but with Bad Daddy’s is your intention to tap out most of say the Colorado market or the North Carolina market before expanding to adjacent states or do you think that the brand is broadly appealing enough and you might find better returns by jumping in say bigger cities and states that aren't necessarily connected to your home base.
Boyd E. Hoback: The answer to that is two sided. On the one hand from a site selection standpoint we think there is still lots of opportunity in Colorado and North Carolina. This is not media driven concept, this is not a market penetration concept. It's really trade area driven. With just the three that we have in Colorado we certainly think we can continue to build here and without cannibalizing existing stores. I think some market awareness will probably help the concept. We saw that in Raleigh, the first store when they opened their second store in Raleigh, the first store immediately popped up 25% to 30%. But more importantly I think is the distribution footprint and we want to continue to grow most of our growth in 2016 will be in Colorado and North Carolina. But after that then we will begin to grow outside of that. What we don’t plan on doing it was hop scotching and jumping over to states that are outside our distribution footprint. We want to try and maintain the same back door costs and with reasonable distributors it’s really important that we stay within that footprint. So that leads us to kind of drawing a circle around Colorado and around North Carolina and growing concentrically from both of those markets. Even if we do franchise selectively, we will certainly look at some new markets I think with that and we’ll see how these new stores perform if we think there is a better opportunity to do higher volume in a brand new market then we will certainly take the tact but I think for 2016 we’ve got our pipeline and our handfuls with Colorado and North Carolina.
Billy Sherrill: Great, thanks guys. Congrats again.
Boyd E. Hoback: Thank you.
Operator: Thank you. Our next question comes from Alex Fuhrman with Craig-Hallum Capital. Your line is open. Please go ahead.
Alex Fuhrman: Great, thank you for taking my question. Boyd certainly appreciate the comments in the prepared remarks about moving towards more transparency with investors. In that spirit could you tell us your April comps, I think you gave us January comps on the last conference call, I would love to hear what April was tracking so far this year?
Boyd E. Hoback: We mentioned them in the prepared remarks, we were up 6.5% in April on Good Times same store sales comps and not the most ideal weather for the month. We started out May with horrible weather but if we can maintain that mid single-digit growth on top of the 28% two year stack for this quarter we’d be thrilled with that.
Alex Fuhrman: Yes, but I don’t disagree with that, you are not -- I am just kind of looking at the comps you guys put up a pretty strong double-digit comp in 2014, now it seems like same-store sales are definitely coming in a little bit now that you are lapping the legalization of marijuana in Colorado. I mean do you expect them to continue to come in, is there any concern that comps could revert back to pre-legalization levels over the next year or two or you are just kind to looking to maintain that new normal and kind of grow low to mid single-digits of the current base here?
Boyd E. Hoback: We’re looking to grow low to mid single-digits off the current base. We don’t think there was any risk of reverting back. I think it’s really more the general state with the Colorado economy that’s extremely healthy. So there has been summarizing of the tide and there has also been our deepening of the ramp position that I think is gaining distraction. So our plan is to continue to build on where we are.
Alex Fuhrman: And then just thinking about the guidance you gave on the Bad Daddy’s side and that run rate revenue wise where you expect to be at the end of the year, is that including the results consolidated in for that 23% owned store, or is that going to be a below the line adjustment?
Alex Fuhrman: No, we’re going to consolidate that store since we have management control of that and then there will be a controlling interest expense and minority interest expense that’s taken out for their share of the net income from that store. So we are consolidating that from a revenue standpoint. So below the operating margin level there will be a reduction for that non-controlling interest.
Alex Fuhrman: Okay thank you.
Boyd E. Hoback:  Thank you.
Operator: Thank you. Our next question comes from the line of Greg McKinley from Dougherty. Your line is open. Please go ahead.
Greg McKinley: Yes, thank you. Boyd you already talked about your Bad Daddy’s development plans in Colorado and North Carolina focus, I guess first question can you give us a sense for will those be roughly equal contributors to how you think unit growth will develop over the next 12 to 24 months? And then secondly you mentioned the possibility of some franchise opportunities overtime with Bad Daddy’s, I guess how do you guys view pursuing that avenue, do you feel like you need to show franchisees additional stores opening at these strong AUVs or has that already been proven enough and now it’s more targeting the right partners if you could help us understand that?
Boyd E. Hoback: I don’t think the issue on franchising is really proving the concept out anymore. I think the issue is what’s the smartest way for us to build the most value over the coming years and I think as a high quality controlled company on growth story, both in terms of valuation that we would get from that as well as capturing the unit economic model and deploying our own capital end of that, at least in the very near-term is the smartest way to go. That said and we do have franchise interest but we’ve intentionally been not signing those and pursuing that. The larger issue I think is Bad Daddy’s is the kind of concept that is right for franchising. Franchising is innovative -- in a way kind of itself kind of its own business. It is real easy to sign up a few franchises but we need to be able to support them and have the platform and the resources in place to either go down the franchising path or not and not dabble in it. So, right now I think the near-term as we want to focus on company owned growth we will then continue to have dialog with some really high quality, high capacity franchise groups. But we are not really -- I don’t want to overstate that because I don’t want to position this as a franchise growth story. We don’t see it that way. We see it kind of incidental to our company owned growth plan.
Greg McKinley: Okay, thank you and then in terms of infrastructure, so you have recently added a CFO, you mentioned bringing in additional HR and Real Estate capabilities. Where do you feel your team is at now to support little higher growth rates for these concepts now in two different markets instead of one, what are the key areas you need to make sure are setup.
Boyd E. Hoback: You know it’s really from an infrastructure standpoint and its really at the pure operating level. So we’ve got so much and we got our 4 GMs for these next four stores in Colorado already through their training program and getting seasoning in our existing stores. And we see padding the North Carolina based as an advantage because it gives us a larger platform not only for the existing market but then to be able to develop opening teams and training teams and all the things that’s required for opening new stores. So we’re going to be putting in District Managers and in that level of supervision in both Colorado and North Carolina that will be our next step. And we mentioned the Director of HR and Training will be I think our next key hire. The number of people that we will be putting in place grows pretty dramatically. So, over this last year we have been working on more platform tools. We have got good video training in place, we have got a great very tight eight week training program for management. We have got store level systems that weren’t in place that are now in place. So, I think we have got the functional platform ready to go. It is really now the people side and so, most of our focus will be at the supervision level, at the unit level, and at the training level.
Greg McKinley: Okay, thank you. And then just two follow-up questions, you mentioned taking 1% price increase with your bacon roll out, where are we at now with menu price and how does that sort of anniversary over the next couple of quarters? And then secondly I wondered if you could comment on Cherry Creek because it seems like there has been some meaningful strides there, what would you attribute that to?
Boyd E. Hoback: Our cumulative price increase so far including this 1% is about 3.5 so far. We took three very small price increases kind of which has been our history and we haven’t seen any transaction erosion from that. We don’t anticipate much more of any price for the balance of this year. So that's 3.5 and maybe a small one later in the year. But that 3.5 is on top of last year's 4.4. So, we took one right at the beginning of this fiscal year, we took a smaller one in January, and then we are taking this 1% now. So the cumulative effect of those three on a weighted basis is 3.5. On Cherry Creek it continues to grow nicely, it is cash flowing at the unit level which is great. The construction is still going on around that store so we anticipate longer-term that that will continue just to get better and better. It is interesting, the first Raleigh store kind of had a similar pattern and we had opened up slower I think than expected and then going in second year just took off and we are seeing some of that same thing from Cherry Creek. I think as the Bad Daddy's awareness gets higher in the market it also helps the Cherry Creek store. I will tell you it is the top rated store on the review sites in terms of reopen and that sort of thing, so we know we are executing well. And I think that is helping to grow that volume.
Greg McKinley: Great, thank you.
Boyd E. Hoback: Thank you, Greg
Operator: Thank you, and our next question comes from Mark Smith with Feltl and Company. Your line is open. Please go ahead.
Unidentified Analyst: Hey guys, it is [Ryan] [ph] on for Mark Smith. Wondering if you could just talk a little bit about the delta in the restaurant economics between that Cherry Creek location in Colorado and maybe some of the lower performing restaurants out there and maybe what you have learned about what is generating those stronger returns going forward for future openings?
Boyd E. Hoback: Yeah, I think the biggest thing that we have learned is really from a site selection standpoint and I talked a lot about this on our road show. Cherry Creek tends to be more of an urban location and what we are seeing is it does the same weekday volume as the other stores. What it doesn’t have is the huge spike that we have seen on Friday, Saturday, Sunday in the other suburban stores that have other larger upscale retail co-tenancy, movie theaters, and that sort of thing. What we will do, if we are doing $5000 on Monday, Tuesday, Wednesday we will jump up and do $15,000 on a Friday and Saturday. Cherry Creek does jump from $5000 to $8000 but it doesn’t jump from $5000 to $15,000 and I think that has been very valuable learning. So, everything we have got in the pipeline and if you look at the top performing stores they tend to have -- they tend to not be real urban locations but tend to be a little bit more suburban, kind of upper middle income suburban. I think we also may be overshot the marked demographically in Cherry Creek a little bit. It is the highest demographic population in residential in the entire state of Colorado. And what we are finding at our higher volume stores in these suburban locations is that I think the sweet spot for Bad Daddy's is not necessarily super high income but good solid upper middle income. And we are taking significant share from casual theme, commoditized casual theme as opposed to these urban markets where there is honestly quite a few really cool restaurant concepts and a lot of choices. While on the suburban locations, they don’t have those same choices, and so I think the Bad Daddy's concept is really resonating strongly there. So, long winded answer but I think fundamentally it is a site selection issue.
Unidentified Analyst: Thank you, that is incredibly helpful. And then just one more, I am sorry to beat the dead horse on talking about franchise in here but, I know it is a long ways out but just wondering if you thought about it at all, kind of what that high quality franchising partner might look like in terms of sites or anything operationally there?
Boyd E. Hoback: Yeah, I guess when I talk about high quality franchisee in this concept particularly I think, we would want somebody that knows their market very well from a real estate standpoint and has good relationships with developers. We would want somebody that has a good solid infrastructure in place, good full service experience I think it is going to be key. Bad Daddy's is very different both in terms of its culture, its employee profile, and operating QSR. So, I think we would look for those things. I think also then the market and the development area also is very important. Certainly well capitalized, we would have no problem whatsoever going out and franchising Bad Daddy's on a one off basis or a smaller basis to folks that want to get involved in the concept. But I think it will be important that we profile good experienced, well capitalized franchisees.
Unidentified Analyst: Alright, thanks so much. Look forward to sampling the breakfast food [indiscernible].
Boyd E. Hoback: Thanks Mark.
Operator: [Operator Instructions]. And I am showing no further questions at this time. Ladies and gentlemen, thank you for participating in today’s conference. This concludes today's program and you may all disconnect. Everyone have a great day.